Operator: Good morning. My name is Shaquana, and I will be your conference operator today. At this time, I would like to welcome everyone to the PH Glatfelter second quarter earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. (Operator instructions) Thank you. It is now my pleasure to turn the floor over to your host, Mr. Glenn Davies. Sir, you may begin your conference.
Glenn Davies: Thank you, Shaquana. Good morning, and welcome to the Glatfelter’s second quarter earnings conference call. My name is Glenn Davies, and I am with the company's corporate finance group. I'm joined this morning by George Glatfelter, our Chairman and Chief Executive Officer; Dante Parrini, the Executive Vice President and Chief Operating Officer; as well as John Jacunski, our Senior Vice President and CFO. Before we begin our presentation, I need to make a few comments. First, in our earnings release and in the comments that you will hear shortly, we use the term adjusted earnings. As many of you may know, this is a non-GAAP financial measure, since it excludes from our GAAP-based results the effects of certain items that we do not consider to be part of our core business operation. In our earnings release, we provided a reconciliation of adjusted earnings to our GAAP-based results together with a discussion of why we use adjusted earnings. The earnings release and the reconciliation are available on the Investor Relations page of our corporate Web site, glatfelter.com. I'd also like to remind you that statements made today concerning our expectations about future trends of business performance may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Please refer to our 2007 Annual Report filed with the SEC for important factors that could cause our actual results to differ materially from any results, which might be projected, forecasted, or estimated in any of our forward-looking statements. And finally, on our Web site and through the webcast provider, we have made available slides to accompany this morning's presentation. We will refer to these during today's presentation to supplement the discussion of our results this quarter. Thank you, and I will now turn the call over to George.
George Glatfelter: Thank you, Glenn. Good morning, everyone, and welcome. As usual, during this morning's call, I'll provide some introductory remarks about our overall business, and then I will ask John Jacunski to discuss our financial performance in more detail. Next, Dante will provide further insight from an operations perspective before we turn the call back to you for your questions. I trust that most of you have had a chance to review our earnings release that was issued earlier this morning. For the second quarter of 2008, we reported record net sales of $320 million. This reflects an 11.2% increase when compared with $288 million for the second quarter of 2007. Our net income for the second quarter was $3.2 million or $0.07 per share. On an adjusted earnings basis, second quarter earnings were $0.06 per share, compared with the loss of $0.02 per share in the second quarter of 2007. During the quarter, our entire business was significantly impacted by record high levels of input costs. Raw material and energy costs increased $16.4 million, compared to last year, which equates to $0.13 per share. Although we've increased selling prices in all of our markets, to date, these increases alone have not allowed us to keep pace with the rapid rise of input costs. To offset the difference, we continue to focus on aggressively driving costs out of our business. In fact, this focus, particularly in Chillicothe, has allowed us to increase the operating income of our business units during the quarter. To improve the cost-price relationship, we expect to continue to aggressively pursue price increases to offset raw material and energy costs as well as focus on further cost reduction initiatives to improve our financial performance. Even with the challenging economic environment that we're experiencing, we've been able to generate record quarterly sales. Excluding the impact of changes to foreign currency exchange rates, our revenue increased 8% during the quarter. This was driven by strong demand in our composite fibers business unit, the Caerphilly acquisition, and our ability to sustain demand in specialty papers despite the generally weak conditions in the broader uncoated freesheet market. Our revenue growth is also supported by continued emphasis on new product development. In the first six months of this year, revenue from new products totaled $341 million or 54% of our total revenue stream. I'm pleased with our continued success in this area of the business. I'll now ask John to provide a more in depth discussion of the second quarter financial results, John.
John Jacunski: Thank you, George. As George stated, we reported net income of $3.2 million or $0.07 per share for the second quarter of 2008. When excluding the gain from the reversal of a reserve related to the shutdown of our Neenah facility and acquisition immigration costs, our adjusted earnings were $0.06 per share this year, compared with the loss of $0.02 last year excluding non-core business items. As shown on Slide 4, overall, the primary drivers of the improvement in earnings and the comparison were a smaller operating loss from specialty paper’s increasing earnings per share by $0.03; lower net interest expense, increasing earnings per share by $0.04; and, a lower tax rate, increasing earnings by $0.01. Specialty papers results improved almost 70% for the quarter as the unit reported a significantly smaller loss of $700,000 this year, compared to the loss of $2.3 million in the second quarter last year. As shown on Slide 7, the improvement was led by our success with cost reduction initiatives in Chillicothe. However, raw material and energy price increased $11.6 million with higher selling prices offsetting only $9 million of this increase. Specialty papers results in both quarters in comparison were negatively impacted by the scheduled maintenance outages in our Spring Grove and Chillicothe facilities that we completed this year. The total impact on the second quarter operating income of these maintenance outages was $15.6 million or $0.22 per share in 2008, which was in line with 2007. The composite fibers business unit, which accounted for approximately 35% of consolidated net sales, had an operating income of $6.8 million during the quarter, unchanged from a year ago. It is important to remember that this unit’s results in the second quarter were adversely impacted by $1 million to the upgrade of one of its paper machines in June, which required the machine to be down for about one month. As shown on Slide 10, this unit’s results were also negatively impacted by rising input costs, which increased faster than selling prices. And as we expected, the results of the recently completed Caerphilly acquisition were improved from the first quarter, but still slightly diluted to this unit’s results. Capital expenditures total $25.4 million year-to-date, compared to depreciation expense of $30.7 million. For the full year, we expect capital expenditures to total $52 million to $57 million. We recently announced a $38 million investment to install state of the art inclined work technology on another composite fibers paper machines. As a result of this upgrade, we are required to accelerate the depreciation of the components to be replaced. This will increase our depreciation by $700,000 per quarter beginning in the third quarter of 2008, and concluding through the third quarter of 2009. In addition, we expect our third quarter results will be negatively impacted by up to $0.01 per share due to start up of the paper machine that was operated in June. As we look in the balance sheet, it remains in good shape. As of June 30th, excluding the collateralized debt instruments related to prior timberland sales, our net debt was $233 million, down $17 million since the end of 2007. This concludes my comments on our financial results. Dante will now provide comments about our business unit performance.
Dante Parrini: Thank you, John, and good morning. Let's start with specialty papers. As you’ve just heard, we reported a loss from operations of $700,000. Compared with last year's second quarter, the improvement on our results reflects significant progress achieved in implementing several profit improvement initiative in Chillicothe. In specialty papers, net sales increased 2.3%, as selling prices were higher across all market segments. Volumes shipped by specialty papers were essentially unchanged in the comparison, although the mixed changed. We have significant growth in envelope, which was up approximately 15%. And engineered products was up nearly 3%. For the quarter, publishing was up 4%, although it is up 4% on a year-to-date basis. And carbonless volumes shipped were down 3% in a quarterly comparison. The rate of attrition in carbonless products during the second quarter was less than we have been experiencing. Although on a year-to-date basis, shipments are down 7%, which is in line with our expectations. From an outlook perspective, our specialty paper’s business unit’s backlog remains strong. We’re operating at capacity and we expect the volumes in the third quarter of 2008 to be consistent with the same period in 2007. For the balance of the year, we remain concerned about the combined impact of a slowing US economy and the typical seasonal slowdown we experience as we approach year end. As for pricing, we expect selling prices in all of our markets to be higher than second quarter levels and to move in line with impact cost changes. Earlier in the year and again in July, we announced price increases across all product lines. The most recent price increase announcements will begin the phase and during the third quarter. Now a few comments about operations, as in past years, we completed the annual maintenance outages across Spring Grove and Chillicothe this quarter. We’re very pleased with the execution of the outages as each mill shortened the downtime during the outage, and completed the scope of work within budget. With respect to Chillicothe, we continue to make progress implementing a number of cost reduction initiatives. In June, we streamlined some functions and eliminated certain salary positions. In addition, we are improving productivity and eliminating under utilized equipment, which is allowing us to improve our cost structure. Across the entire specialty papers business unit, we are aggressively taking actions to reduce cost, control spending, and improve product performance and service. Which we believe will help mitigate any impact from an unfavorable economic environment. We are confident that the actions being taken will further improve our financial performance. Let’s turn to composite fibers. Net sales increased 32%, compared to the same quarter a year ago, reflecting the inclusion of the Caerphilly operation, foreign currency translation, and improved shipping volumes in all product lines. Specifically, food and beverage shipments were up 1.2% despite the continuing tight of back-up fiber supply environment and our own capacity constraints. Composite laminates increased 9% and, technical specialties was up 4%. Metallized shipments almost doubled reflecting the additional volume from the Caerphilly acquisition. As for pricing in composite fibers on a constant currency basis, we saw moderate improvement in average selling prices for food and beverage as well as composite laminates. Pricing in our other product lines was generally unchanged. Composite fibers facilities ran well during the quarter. As you’ve heard, we completed $10 million project to upgrade the paper machine at our Gernsbach, Germany facility. Since the completion of the upgrade in June, we have successfully restarted the machine and our shipping quality paper to our customers. We believe we are well positioned to serve the growing needs of our food and beverage market on a worldwide basis. From an outlook perspective for the composite fibers business unit, cost pressure remains a concern. However, higher average selling prices coupled with the continuing success of our cost reduction initiatives are expected to more than offset the impact of import cost increases in the second half of this year. We expect all the demands for this business unit’s products and shipping volume in the second half of 2008 at a level higher than the same period in 2007, reflecting additional volume attributable to the Caerphilly acquisition. This concludes my remarks. I’ll turn in back to you, George. 
George Glatfelter: Thank you, Dante. As you’ve just heard from both John and Dante, we had a relatively successful quarter in a number of areas. This particular quarter is always challenging, driven in larger part by the annual maintenance shutdowns that we have previously discussed. Still, we were able to demonstrate continuation of improved year-over-year financial performance. And have maintained a positive earnings trajectory on that basis for the past several quarters. I believe this performance demonstrates that our business strategy is working. As we move into the second half of 2008, execution of this strategy will continue. In the specialty papers, our focus is on continuing to reduce cost. This has enabled us to steadily increase operating income in this business unit over the last several years. With respect to the uncertain economic situation we are currently confronting, it’s now important than ever. Additionally, we will need to sustain our revenue stream within this business unit in the face of a generally soft uncoated freesheet market. We intend to accomplish this objective through the strength of our value proposition to existing customers as well as through a strong pipe line of new products. Finally, turning to composite fibers, we will increase capacity to serve our growing markets. Capacity expansion will be generated by improving the productivity of our current machines, ensuring that we generate the expected production from the machine operated completed in June, and completing the recently announced $38 million upgrade to a machine planned for late 2009. In my view, these are the most important things that we can do to move the business forward and generate value for our shareholders. That concludes our prepared remarks for today’s call. I would again like to thank you for your interest and open the line to address your questions. Shaquana?
Operator: (Operator instructions) Our first question comes from Mark Connelly with Credit Suisse. Please go ahead.
Mark Connelly – Credit Suisse: Thank you. A couple of questions, George, when I think about your engineered paper business, I think about sort of broad, but relatively shallow economic exposure. Is that still true these days? I mean, obviously, your overall portfolio has changed quite a bit in the last couple of years. But should we think of you guys still as gently sensitive to economic conditions in the US rather than severely? Is that still a right sort of calibration?
George Glatfelter: Thank you, Mark. I’m a little careful with generalizations, but I think your characterization is true. In general, we do have a pretty broad product line. And that’s complemented by some pretty strong customer relationships that in times of economic stress, tend to work in our favor. These relationships have enabled us to, I think mitigate, to date, a large portion of the impact of the declining economy. I think that’s important. Especially papers, for example, we’ve improved our volume shipped in areas of envelope and the uncoated engineered product grades that you’ve talked about. And in the composite fibers business unit, we continue to increase delivery in the tea and coffee markets. And we’ve grown composite laminates due to the exit of a number of competitors in that market. I think in fairness, the economy and its impact, particularly, on sales volume remains a risk as we look into the second half of 2008.
Mark Connelly – Credit Suisse: Just two more questions. Can you give us a little bit more color on what you think is happening in envelope that’s helping drive that? Obviously we had a couple of disasters direct mail months. Are we just rebounding from that? Or are we seeing an inventory build? Or are your customers and competitors doing something different now? 
George Glatfelter: Thanks, Mark. I’ll direct that to Dante.
Dante Parrini: Hi, Mark. 
Mark Connelly – Credit Suisse: Hi, Dante.
Dante Parrini: As you know our envelope and converting paper business has curved out a bit of a regional niche in the Greater Mid Atlantic and East Coast. And we’ve develop a service proposition that is viewed as the benchmark. So our ability to allow our customers to reduce working capital, especially during this type of economic environment, and the combination of our consistent quality, and the sticky relationships that we’ve been able to develop, and the utilization of tools like myglatfelter.com, have all kind of added up to allow us to continue to grow this part of our business. And we’re quite comfortable with the position that we have even as you reference the kind of tough few months in advertising and direct marketing. 
Mark Connelly – Credit Suisse: All right. Well just one last question on Chillicothe. Obviously, the decision to close Neenah and do Chillicothe, in retrospect, has been a huge success. And you’re showing some pretty big improvement there. And you’ve been showing steady improvement. Is there a whole lot more that we should be expecting out of that operation, Dante?
Dante Parrini: Well clearly, we’re pleased with the progress that we’ve made. And as you know, we’re never happy. So the business environment is going to force us to be hard nosed on the cost side, and continue to push for productivity improvements and continue to manage our mix. As you know, that facility produces carbonless staplers as well. So I do believe that we have an opportunity to continue to improve our performance at Chillicothe. And that’s the path that we’re taking. And those are the targets that we’re establishing inside Glatfelter. 
Mark Connelly – Credit Suisse: Very helpful. Thank you. 
Operator: Thank you. (Operator instructions) Our next question is coming from Bruce Klein with Credit Suisse. Please go ahead.
Bruce Klein – Credit Suisse: Hi, good morning. I was just – can you just help us on timberland, what the latest is on the status and the strategy there for those remaining assets?
George Glatfelter: Sure, Bruce. This is George. Good morning. I think that the watch board on the timberland is that we’re still actively marketing properties, but the interest in most of our holdings has declined commensurate with some of the economic stresses that we have. Today, we have about 37,000 acres remaining, 18,000 acres of those are in Pennsylvania, 8,000 are in Delaware, and 11,000 are in Northern Virginia. We said all along that we intend to maximize the value of this timberland asset over time. And clearly, the situation that we have now from an economic point of view has dampened interest on the short and immediate term. We’ll continue to follow all of our tracks, and as opportunities to monetize those tracks become available, make the appropriate decision. We’re still fully committed to monetizing all of our timberland assets.
Bruce Klein – Credit Suisse: And is there any substitution shifts or new capacity coming overseas, and any deposit fibers? Any of those businesses that are particularly worrisome at this point? 
George Glatfelter: Not at the moment, Bruce. If anything, I think I mentioned earlier, in the composite laminate side of our business, these are the products that we’re producing for laminated furniture and flooring. We’ve actually seen our competitors leave the market, arguably, strengthening our position. But from a substitute product point of view, really no changes. 
Bruce Klein – Credit Suisse: Thanks, guys. 
George Glatfelter: You’re welcome. 
Operator: Thank you. Our next question is coming from Mark Wilde with Deutsche Bank. Please go ahead.
Mark Wilde – Deutsche Bank: Good morning, George, Dante, John.
George Glatfelter: Good Morning. 
Mark Wilde – Deutsche Bank: Just a question about the North American business first. It seems that we’ve had quite a shift here over the last, I don’t know, six or eight years. You used to talk about really trying to shrink the proportion of the business that was envelope business. And we used to hear, I think a little bit more about trying to push that growth in the engineered papers. Can you give us a little more color on that shift? 
George Glatfelter: Yes. Mark. We can. This is George. We clearly, as Dante has indicated, have been leveraging customer relationships, superior service propositions to drive value in the envelope market. And I think the business that we have today is a result of that. And as we’ve mentioned that’s grown over the past quarter. We certainly are not de-emphasizing engineer products. They have grown as well. And that will continue to be a focus of ours going forward. So that’s the way I address your question. 
Mark Wilde – Deutsche Bank: Yes. I guess I just what I’m curious about in envelope paper is whether that’s really a defensible position for you over time given that you’ve got some smaller machines and probably not the low pulp cost that bigger mills or maybe even offshore mills have, George?
George Glatfelter: Well, I think it’s a fair question. History has shown that we’ve been able to grow our market share in a market that has been in modest decline. And the manner that we approached that particular part of our business is not with a commodity mindset. We tend to focus our efforts on a regional basis where the cost to serve are manageable. I’ve mentioned the best-in-class service delivery that we have in that regard. And I think as long as we continue to approach that market in that fashion, our customers will value what we do. And that’s held up through the years. And certainly have been a factor in the performance in that market in 2008. 
Mark Wilde – Deutsche Bank: George, how’s the volume and the share doing this year in the other North American business, which is really the book paper business?
George Glatfelter: Book paper, Mark, was off about 4% in the quarter, but I think it’s up about 4% year-to-date, so pretty much steady as it goes. We don’t believe that we are in the process of loosing any volume or market share in that particular market. The carbonless papers continues to decline at the rate of 7% to 9%. That’s the number that I’ve think we’ve used a number of times in the past. So we don’t really see anything extraordinary in that market place either. 
Mark Wilde – Deutsche Bank: Have you seen, George, any change in the book paper market just given some of that consolidation and rationalization moves that the big guys have made? 
George Glatfelter: The change that I’ve seen is more intuitive, Mark. I think that with the consolidation that’s happened across the larger scale players, the value proposition, and sustainability that Glatfelter has historically had to that market, I think resonates more strongly. This is a business that I think we understand better than anybody else in the business. It’s a business where long term relationships are important in understanding buying patterns and what’s important to customers. So if anything I’ve seen, again intuitively, a net positive with respect to how that business is viewed by our customers. 
Mark Wilde – Deutsche Bank: Does that print on demand, has that changed that business much at all yet, George? 
George Glatfelter: That’s an emerging technology. That’s an area of substantial growth in the printing papers business. But it’s an area that has yet to generate substantial scale. 
Mark Wilde – Deutsche Bank: Yes. Okay. All right. Just turning over to Europe for a second, I think Dante mentioned that tight supplies and of a backup pulp, and I wonder with the additional incline, why or whether you’ve given any more thought to expanding down in the Philippines? 
Dante Parrini: Clearly the availability and supply of a backup fiber is more important to us as we expand capacity and continue to support the growth on a global basis. We’re the largest buyer of raw fiber in the Philippines. We are integrated to have our own pulp mill. And we have invested a lot of time and R&D activities in developing a variety of alternatives that would allow us to not only work with the current levels of the backup fibers, but other types of process technology and material signs that allows us to meet the technical specifications of the market, manage our cost, and furnish the paper machines to keep up with demand. So all in all it’s an area that we have to spend time and attention on. But I don’t view it as a major risk that would hold us back from continuing to support the growth of our markets, and realize the returns on the recent investments. 
Mark Wilde – Deutsche Bank: It doesn’t sound to me that it’s likely that you would expand pulp business down in the Philippines. Is that fair?
Dante Parrini: I think it’s yet to be determined and will be driven on the return and the business case vis-à-vis the options. 
Mark Wilde – Deutsche Bank: All right. We like that kind of evaluation. Finally, Dante, I know you’ve been spending a lot of time over in Asia over the last few years. Any update on China and other locations over there?
Dante Parrini: No real update, Mark.
Mark Wilde – Deutsche Bank: Okay. Very good. Thanks, Dante.
Dante Parrini: Yes. 
Operator: Thank you. (Operator instructions) Our next question comes from Phil Kenny with Nomura. Please go ahead. 
Phil Kenney – Nomura: Hi. I just have a couple of questions on your carbonless business. You said that shipments were down 3% in the quarter and 7% year-to-date. Can you tell me what percent of your shipments go outside of the United States? 
Dante Parrini: This is Dante, Phil. A very small percentage, over 90% of our carbonless volume is sold in the US. 
Phil Kenney – Nomura: And can you tell me what your market share is in the US and how consolidated that industry is? 
Dante Parrini: Well there are two primary suppliers. There are a few print suppliers outside of the US. And one that plays in a small nation in North America. I’m not sure that we had a practice of disclosing market shares, John.
John Jacunski: No. We haven’t specifically. Although, with three, or sorry, two major suppliers, we have a substantial share of the market. 
Phil Kenney – Nomura: Have there been any capacity cuts to push up pricing in that segment? Or is it just not necessary because there are only two large players? 
John Jacunski: Our strategy has been as we’ve seen in current carbonless is to replace that with growth in our early market segments incurred some of our growth we’ve been able to generate this morning. So we are using that capacity to make other products. So we are not cutting capacity, but we are mentioning the capacity with the demand of the market. 
Phil Kenney – Nomura: Okay. Thanks. 
Operator: Thank you. Our next question is a follow-up from Mark Wilde with Deutsche Bank. Please go ahead.
Mark Wilde – Deutsche Bank: Dante, coming back to Europe. Have you seen any impact yet on your business from a slowing, which seems to be intensifying over in Europe? I guess I’m curious about it on your overall business, but I’m particularly curious about it with regard to some of the business, like the overlay that goes into construction oriented segments of the market.
Dante Parrini: The impact of the European economy on our SFPU backlog has not been negative. As you might recall in our comments with composite laminates up 9% year-over-year, so part of that has to do with our positioning in the market and our relationship with the major players. And as the fringe competitors kind of advocate their position, and naturally lend itself to us being able to continue to create demand for glass filter, almost against what you might be seeing in the economy in Europe, so. 
Mark Wilde – Deutsche Bank: What’s the market doing for those type of papers over in Europe overall, Dante? Are you seeing that kind of the market slowdown with the housing market and places like the UK and Spain slowing?
Dante Parrini: I would say, if you’re looking at macro themes, clearly the economy in Western Europe is slowing a bit. And if you were in businesses that were more tied to GDP type activity, I think you would be feeling perhaps less optimistic about your backlog as we do. But if you look at the products that we’re producing, and the, I guess geographic dispersion of our customers and our positioning in each of those segments, I think we’re doing much better than the average player. 
Mark Wilde – Deutsche Bank: Okay. Very good. Thank you. 